Operator: Good day, ladies and gentlemen. Welcome to the Goldcorp Inc. 2013 Third Quarter Results Conference Call for Thursday, October 24, 2013. Please be advised this call is being recorded. I would now like to turn the meeting over to Mr. Jeff Wilhoit, Vice President, Investor Relations of Goldcorp. Please go ahead.
Jeff Wilhoit: Thank you and welcome everyone to the Goldcorp third quarter conference call. Among the senior management in the room with me today are Chuck Jeannes, President and Chief Executive Officer; Lindsay Hall, Chief Financial Officer; George Burns, Chief Operating Officer; and Russell Ball, Executive Vice President, Capital Management. For those of you participating on the webcast we’ve included a number of slides to support this morning’s discussion. These slides are available on our website at www.goldcorp.com. As a reminder we will be discussing forward-looking information that involves unique risks concerning the business, operations, and financial performance and condition of Goldcorp. Forward-looking statements include, but are not limited to, statements with respect to future metal prices, the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, and cost and timing of the development of new deposits. Forward-looking statements are subject to known and unknown risks, uncertainties and other factors that may cause the actual results to be materially different from those expressed or implied by such forward-looking statements. Accordingly you should not place undue reliance on forward-looking statements. With that, I will now turn the call over to Chuck Jeannes, President and Chief Executive Officer.
Charles Jeannes: Thanks Jeff and thanks everyone for joining us today. I am pleased that we were able to report solid third quarter results for Goldcorp this morning with gold production on track with our original guidance for the year. More importantly nearly every mine delivered decrease in costs quarter-over-quarter as our productivity and cost reduction programs continued to take hold throughout the organization. For the quarter gold production totaled 637,100 ounces, while all-in sustaining costs decreased to $992 per ounce. This contributed to adjusted net earnings for the quarter of $190 million or $0.23 per share, while adjusted operating cash flow totaled $375 million or $0.46 per share. As we’ve discussed previously grades and production at Peñasquito increased in the third quarter as we expected and we also saw improved recoveries and throughput in the quarter. We are positioned for a strong fourth quarter at Peñasquito as mining has moved into a higher grade portion of the pit. Water availability was as expected and the team has continued to advance the Northern Well Field project to help meet our longer term water needs at Peñasquito. Looking ahead production remains on track to meet 2013 guidance with continued cost reduction a key priority for the balance of the year and beyond. Porcupine in Ontario is a mine that deserves special mention for their recent and dramatic success in reducing costs. As most of you are aware the porcupine complex is one of Goldcorp’s higher cost operations and they have responded to our operating for Operating for Excellence or ore for – challenge with initiatives designed to position the mine for free cash flow on a sustained basis. These types of porphyry stories about throughout the organization and we look forward to seeing that momentum building and manifesting itself directly in our financial results. Red Lake in Ontario delivered a lower production quarter as mining took place in lower grade blocks as planned. As is often the case at this high grade mine we are seeing a lot of variability on a quarter-to-quarter basis but overall Red Lake production remains on track to achieve 2013 guidance of between 475,000 and 510,000 ounces. De-stressing activity is proceeding successfully positioning the mine for strong finish to 2013 and a solid start to 2014. Autoclave modifications at the Pueblo Viejo joint venture in the Dominican Republic are now essentially complete and efforts continue to de-bottleneck the plants and position PV for an improved 2014. Due to these ramp up issues we now expect PV production to come in at the low end of our guidance range for the year. Turning to the projects I remain very pleased with the pace of construction and development at the Éléonore Gold Project in Quebec. Éléonore remains on track for first gold production in late 2014 and we look forward to what would be a very strong contribution to our production growth and low cost profile. Cochenour in Red Lake has continues to progress towards first production in 2013. Plans to integrate the project into existing Red Lake operations are accelerating, supporting our long term vision for robust high grade production from this world class camp for many years to come. Turning to Cerro Negro the team there continues to make good progress on development despite significant external challenges. An initial delay and receiving the necessary permits delayed the start of construction of the main power transmission line by six months. Annual inflation of 25% to 30% continues without a corresponding decline in the Argentine peso rate applying pressure on costs. We are also dealing with uncertainty related to the recently enacted resource tax imposed by the Santacruz province. These issues have prompted us to cease all exploration activity and to defer the developments of the Mariana Norte vein until late 2014. We today announced a revised schedule and capital cost estimate for Cerro Negro with first gold production expected in mid-year 2014 and the gold production for the year now expected in the range of 130,000 to a 180,000 ounces. The initial capital cost estimate is increased to between $1.6 billion and $1.8 billion. In the mean time we’ll continue to engage at the provincial and the federal levels in Argentina to see constructive solutions to the challenges before us at Cerro Negro. Based on our strong production results through three quarters we are pleased to be able to reconfirm and narrow the ranges on our 2013 production and cost guidance. Production is expected to be between 2.6 million and 2.7 million ounces a total cash cost of between a $1,050 and $1,100 per ounce on an all-in sustaining basis, $550 to $575 an ounce on a by-product basis and $700 to $725 per ounce on co-product basis. Capital spending remains on track with previously reduced guidance of $2.6 billion for the year. In summary production for the quarter puts us on track to meet guidance for the year. I am sure you’ve done the math and you can see that, that means we are expecting a very strong fourth quarter consistent with our discussions with you throughout the year. This higher production in combination with operating cost moving lower throughout the portfolio means we are looking forward to a very strong finish to 2013. Looking forward to 2014 we are in the midst of our budgeting process and we’ll be providing the details for you in early January. So I don’t have any numbers for you yet but I can say that we certainly expect significantly higher production and lower all-in sustaining cost in 2014. From a broader perspective the Goldcorp Investment preposition remains intact. Our strong balance sheet, growing production and low cost operating structure enabled us to continue to both fund our outstanding growth profile and return capital to our shareholders. With that I’d now like to turn the call over to George for a review of the operations.
George Burns: Thanks Chuck. Gold in the third quarter was largely as expected across the mine portfolio while all-in sustaining cost decreased at 9 of the 11 operations compared to the second quarter. We continue to see wins from our Operating for Excellence program that translated into direct cost reductions in the third quarter. Turning to the operations and beginning with Peñasquito, third quarter gold production totaled a 113,900 ounces at an all-in sustaining cost of $830 per ounce. Mill throughput in the quarter averaged approximately a 109,900 tons per day with water availability in line with our expectations. We continue to make progress in our efforts to secure the water requirements for Penasquito. Northern Well Field land access agreements continue to be completed throughout the quarter and we are finalizing the pipeline routing. Final engineering designs are essentially complete. Construction activities are expected to commence during the fourth quarter of this year. Production at Porcupine for the quarter totaled 76,000 ounces at all-in sustaining cost of $920 per ounce, the lowest cost at Porcupine since the fourth quarter of 2011. Increased production over the second quarter of this year was a result of optimization of long-hole sequencing at the Hoyle Pond to remove marginal production, higher grades at the Dome Underground and higher tonnage from stockpile. At Hollinger project the environmental compliance approval for Hollinger is expected to be issued by the Ontario Minister of Environment before year-end. A new optimized mine plan has been developed to support a much stronger economic project at lower gold prices and accomplishes reclamation of historic mining activities. At Red Lake, gold production totaled 97,000 ounces at all-in sustaining cost of $986 per ounce. Production decreased as compared to the second quarter as mining took place in the lower grade blocks in the 41 and 45 levels. Rates in the high grade zone Deep Campbell and Horizon are expected to increase in the fourth quarter. De-stressing of this 47-46 level is well underway and the team at site continues to progress to de-stress cuts more quickly and efficiently. We remain on track to meet guidance of between 475,000 and 510,000 ounces. Our 40% of gold production at Pueblo Viejo totaled 75,400 ounces at all-in sustaining cost of $661 per ounce. Lower tonnage was processed compared to the prior quarter as one of the autoclaves was taken off line for design modifications. All four autoclaves have now been modified in each successfully tested at design capacity of 300 tons per hour. However, as a result of ongoing modifications in other areas of the plant, production for the year is expected to be at the low-end of our guidance. Construction of 215 megawatt dual fuel power plant is essentially complete and in the commissioning phase which will run into November. You’ve heard me talk about our Operating for Excellence program all year and I am very pleased that a lot of hard work is showing up in the numbers. Our teams are focused on many additional opportunities that will deliver improvements in efficiencies in productivities and reduction in operating costs as we move forward. Now I would like to turn the call over to Russell Ball for review of the projects.
Russell Ball: Thanks, George and good day everyone. Turning to slide 14, you can see we made significant progress in Cerro Negro in Argentina despite a challenging external environment. As I mentioned on the second quarter call we made a conscious decision not to change schedule at any cost and that has resulted in our revised schedule and capital cost information. We now expect to produce first gold in mid-2014 with commercial production expected in the fourth quarter of 2014 and gold production for the year 2014 between 130,000 and 180,000 ounces. Our revised capital cost estimate is expected to be between 1.6 billion and 1.8 billion, up from the previous 1.35 billion. At the end of the third quarter we had spent approximately $933 million so we have about another $800 million to be spent in the fourth quarter of this year and next year through commercial production. At the process plant the EPCM scope is approximately 66% complete with engineering in excess of 96%. The ore stockpile at quarter end was approximately 157,500 tons at an average grade of 12.4 grams gold and 253 grams per ton silver. Due to the delay in plant startup we expect the stockpile to be approaching 450,000 tons by the middle of 214 increasing to approximately 550,000 tons by the time we expect to reach commercial production. Consequently and in order to be disciplined with our capital we have temporarily suspended development at Mariana Norte. As previously discussed due to recently enacted resource tax in Santacruz province all exploration activities were suspended in the third quarter. Cerro Negro remains one of our highest exploration priorities and we look forward to resumption of exploration activities following resolution of the resource tax issue. Slide 15 provides more detail on our revised schedule and updated capital cost estimate. The risk identified in prior quarters have negatively impacted the schedule and we now expect the porphyry in mid-2014 rather than late 2013 primarily as a result of six months delay in receipt of approval of the permit to construct a transmission line, which shifted the construction period into the winter. The current schedule has completion of transmission line appearing in February 2014. In regards to increase in the capital cost estimate the major drivers were as follows; approximately $170 million related to escalation in the exchange rate and in particular the significant difference between the official exchange rate and the unofficial exchange rate. The difference between the two rates is currently around 17%. The previous capital cost estimate had assumed that inflationary impact will be offset by an equivalent depreciation in the exchange rate. And clearly that has not been the case. In addition the 1.35 billion estimate had no inflation assumed for 2014 since the expectation was that we would be essentially complete at the end of 2013. Approximately 100 million related to the schedule delay with the extension of the expected commercial production date which results in operating costs being capitalized and getting hung up on the balance sheet which is going through the income statement. Approximately 80 million related to regulatory changes requiring greater in-country sourcing and contractor productivity challenges. And finally an increase in $25 million in contingency to a reflected challenging environment in which the team is operating with approximately 20 % of the remaining spend in contingency which is high at this stage of the project but we feel is prudent based on recent experience. Key assumptions embedded in this revised capital cost estimate including country inflation of 25%-30% continuing for 2014 and a six to one Argentinian peso to the U.S. dollar exchange rate. Clearly a meaningful devaluation of the peso between now and construction completion would significantly improve the capital cost estimate. Slide 16 reflects some of the significant progress in the field and I wanted to recognize the dedication and commitment of the entire team on the ground to safely constructing Cerro Negro. With the mill building now enclosed in the southern hemisphere, summer approaching we look forward to significantly higher progress in the coming months. Turning to Eleonore in Quebec on slide 17 initial gold production remains on track for the fourth quarter of 2014. At quarter end the engineering for the process plant was 91% complete, and the EPCM progress was at 40%. At the mine the exploration ramp progress beyond 3,600 meters and the production shaft reached a depth of 525 meters. The geologists on the call you will be happy to know that we achieved a milestone during the quarter when on August 18th we intersected the first mineralized zone and cross cut on level 410. Drilling this quarter focused on infill, in filling the upper mine area and exploration in the lower mine area with just in excess of 17,000 meters of diamond drilling completed in the quarter with currently six drills onsite. Slide 18 includes a number of recent photos of the mill building and as you can see the team is making significant progress. The mill building has been winterized which will make for higher productivity as winter in Northern Quebec rapidly approaches. And finally turning to slide 19 at Cochenour in the Red Lake district construction activities are on schedule and on budget with production on from the 5100 level currently expected in the first half of 2015. However, as part of this year’s budget process the Red Lake operation teams are looking at opportunities to improve on that schedule and we will keep you informed as that process is finalized. At quarter end the shaft slashing and widening has reached a depth of 930 meters and remains on track for 2014 completion. The Cochenour Red Lake haulage drift was approximately 80% complete. The progress was slow this quarter due to a tap zone that extended for approximately 2,400 feet. We are now out of the tap and expect to see significantly higher rates of advance shortly. Of the detailed schedule review the haulage drift is no longer on the critical path and as such we are looking at options to re-deploy resources, to focus on mineralization raises, as the mine working areas is now the critical path. On the exploration side we recently commenced drilling from the drilling the Bruce Channel from a cut off of the haulage drift. With that I will now turn it over to Lindsay for this quarter’s financial review.
Lindsay Hall: Thanks, Russell. We sold over 652,000 ounces of gold at an average realized price per ounce of $1,339 versus 624,000 in the second quarter at an average realized price of $1,358. By product cash cost also improved to $551 per gold ounce compared to the prior quarter of 646 primarily due to higher byproduct credits and higher sales volume for gold as well as a 2% decrease in production cost as the company continues to focus on implementing cost savings and productivity gains as part of its Operating for Excellence initiatives across the organization. On the co-product basis cash cost decreased to $706 per ounce in Q3 compared to $713 in the prior quarter. The increase in sales volume and reduction in production cost resulted in an increase to our earnings from mine operations of some $68 million from the prior quarter. As well our Q3 all-in sustaining cost decreased to $992 and remained in line with our narrowed 2013 guidance range between the $1,050 and $1,100 per ounce. This decrease as compared to our Q2 cost of $1,279 is primarily a result of company’s management of the sustaining capital program to maximize returns on capital employed. The details of this calculation are disclosed on page 38 of our MD&A. Net earnings for the third quarter amounted to $5 million or $0.01 per share compared to a net loss of $1,934 million per share of 238 in the prior quarter. The third quarter results were impacted negatively by the cumulative tax adjustments arising from the amendments for the Pueblo Viejo Special Lease Agreement or SLA which was ratified just prior to the close of the quarter. The cumulative negative impact which is included in the share of net losses and associates line of the GAAP statement amounted to $187 million with 26 million related to the third quarter earnings of Pueblo Viejo. The remaining $161 million relates to the retroactive impact of the amendments. Adjusted net earnings for the quarter amounted to $190 million or $0.23 per share compared to $117 million or $0.14 per share in the prior quarter. To calculate adjusted earnings we adjusted our reported net earnings of $5 billion by adding back retroactive impacts of the Pueblo Viejo SLA amendments of 161 million and foreign exchange losses related to our capital projects of 12 million. The we removed the effect of the non-cash foreign exchange losses on the translation of deferred income tax assets and liabilities of $9 million from the booked tax provision. The detailed calculation of our adjusted net earnings is disclosed on page 39 of our MD&A. Consistent with previous quarters we did not make any adjustments to non-cash share based compensation expense which amounted to 24 million or $0.03 per share. To calculate the effective tax rate for the quarter one needs to adjust the book income tax recovery of 10 million for the following items. Increased recovery for the foreign exchange losses and deferred income tax assets and liabilities of 9 million and deduct the income tax expense related to the third quarter earnings of PV of $33 million and Alumbrera of 7 million. Then from the loss before tax of 5 million the following adjustments are made. Add back the book income tax expense included in the equity earnings of PV and Alumbrera of 205 million and 24 million of stock based compensation representing permanent differences as these items will never be taxable resulting in an effective tax rate of 10% for the quarter. This lower third quarter tax rate is due primarily to the settlement of certain past tax positions and the favorable impacts of tax deductible Argentinean foreign exchange losses. The company expects an overall effective tax rate of 35% for the fourth quarter of 2013 primarily due to the impact of the amendments to Pueblo Viejo SLA resulting in an overall effective tax rate of 25% for 2013 versus our previous guidance of 29%. For the third quarter we had positive provisional pricing of $8 million and 4 million at Peñasquito and Alumbrera respectively. For the fourth quarter provisional pricing at Peñasquito– will reflect 70,000 ounces of gold priced at $1,027 per ounce, 4.2 million ounces of silver priced at $21.68 per ounce, 31.4 million pounds of lead priced at $0.94 per pound and 38.2 million pounds of zinc priced at $0.85 per pound. While Alumbrera will reflect 20.7 million pounds of copper priced at 331 per pound. In spite of the lower realized metal prices the company continued to generate strong cash flows from operations with adjusted operating cash flow for the third quarter of $375 million or $0.46 per share. We invested $575 million at both our operating mines and projects and paid $122 million in dividends this quarter. Strong cash flows and well managed capital investments are part of Goldcorp’s established goal of financial discipline. With 1 billion in cash and an undrawn revolver facility of 2 billion plus strong credit ratings at BBB plus and BAA2 we continue to be very comfortable in our ability to fund our capital programs both at our operating mines and new projects under any foreseeable lower gold price scenario. Our strong balance sheet, flexible capital expenditure program and continued focus on cost containment through our Operating For Excellence allowed us to continue to positively impact on our financial results and add value to our shareholders. With that I will turn it back to the operator for questions.
Operator: Thank you. (Operator Instructions). Our first question is from Andrew Quail from Goldman Sachs. Please go ahead.
Andrew Quail – Goldmand Sachs: Hi, guys congratulations on a good quarter and thanks for the update. My question is on Peñasquito, I got two, one is good guide and obviously as per the mine year plan do you see that continuing for the next sort of few quarters and even sort of into 2015 or is it going to go higher? Can you give some guidance on that?
Charles Jeannes: Sure. We are moving in phase four in a better grade throughout the year and that’s why the production profile is ramping up and we continue to look for a really strong fourth quarter at Penasquito. In terms of looking at the five year plan, yes our pushback sequences are looking to be in better grade material for the next five years so we are looking for a strong continuation of production improvements at Penasquito.
Andrew Quail – Goldmand Sachs: And second question just on the Well Field obviously starting construction in Q4 this year, when do you guys see that being completed?
Charles Jeannes: Yeah we are projecting it to be completed fourth quarter of 2014.
Andrew Quail – Goldmand Sachs: Yeah, thanks.
Operator: Thank you.
Charles Jeannes: Thanks, Andrew.
Operator: The following question is from David Haughton from BMO Capital Markets, please go ahead.
David Haughton – BMO Capital Markets: Hi yes, thank you Chuck and guys. You have got [inaudible] by the sounds of it. Just back to the Penasquito we had seen some time ago a detail on the grade profile and it had been anticipated to get into much better grade but we have to change really to the rate at which material has been moved because you have not been able to run at full capacity. We have been at some stage expecting to get out to the 0.7 grams level around 2015. Is that still the way that you are looking at things?
Charles Jeannes: Yeah, we are working on our new budget for next year and five year plan but more comfortable with the strong increase in grade and therefore production profile will happen.
David Haughton – BMO Capital Markets: Okay, but that kind of grade that we were provided with sometime ago is still something that we should be thinking about that, that’s a realistic target for you?
Charles Jeannes: Yes.
David Haughton – BMO Capital Markets: And it’s good to see the throughput getting up by round about 110,000 tons a day level. Now I presume that you have got access to additional water, there has been floods and rains et cetera in there on a seasonal impact. Is that pretty much what’s driving this or are you just finding better ways to work with what you have got?
George Burns: So we have been expanding the current Well Field that we have been running the plant on since startup and that’s enabled us to meet our roughly 110,000 ton a day guidance that we have given. The Northern Well Field once constructed will add on top of that water enable, and sustained capability of ramping up production further. So the rain obviously was a good thing but it really didn’t have a direct impact on the quarter or next quarter. It’s really expanding, existing infrastructure about 50 watering in existing Well Field that’s enabled us to run these sort of production numbers.
David Haughton – BMO Capital Markets: So George would you feel comfortable with the 110 to 115 thousand tons a day through balance of the year and into 2014 or is that too high in your mind?
George Burns: No, that’s consistent with our belief.
David Haughton – BMO Capital Markets: Okay, now slipping back if I may to Cerro Negro. The production numbers that were provided in the guidance and also in Russell’s talk was 130 to 180 thousand ounces for 2014, is that inclusive of pre-commercial material or would you consider that commercial material?
Charles Jeannes: Yeah that includes preproduction.
David Haughton – BMO Capital Markets: Okay, so if we would just take a half that number size as you guess would that be a reasonable way of thinking what you could get for commercial production?
Charles Jeannes: Yeah, at this stage, David I think that’s within any error of any estimate.
David Haughton – BMO Capital Markets: Alright, and also noticed slower spend at Cerro Negro you’ve said you’ve been slowing down some of your development, you’re pulling back on your exploration et cetera but we still got a target of the CapEx at 2.6 built for 2013 had that 2.6 been adjusted for those kinds of slippages if you like into 2014 out of ‘13?
George Burns: Yeah, I think the 2.6 number had the 745 in there and we will be slightly below that but in the neighborhood I’d say somewhere around the 720 is my expectation for the year and those cost are then obviously when we don’t spent this year will roll into next year.
David Haughton – BMO Capital Markets: Okay, so quite a big spend really for the fourth quarter?
George Burns: Yeah, and we are seeing that for the last couple of months we have seen spending jump from the roughly 40 to 50 range to those 70 to 80 range. So we are seeing the spend and consequently we are seeing the progress on the ground and you saw some of that in the quarter.
David Haughton – BMO Capital Markets: Okay. I guess second about the pressure that you have had on the capital cost saving completely understandable given the circumstances. We haven’t really had an update on the operating cost guidance for some time, are you in a position where you can give us an indication where that might be heading at Cerro Negro?
George Burns: David, we are in the process. The ore body as you know is one that is extremely robust. The exchange rate is obviously a challenge or the exchange rate is a challenge with the disconnect with the inflation rate and so we are working that through. Our assumptions going in are on the operating cost are going to be similar to what you have seen on the capital six to one exchange rate and that 20% to 25% to 30% exchange rate. So we don’t have those numbers we are looking at opportunities and we will get those to you in really in the first quarter it’s just too early with the construction schedule moving we have had to go and essentially go back to a zero base budget and so a lot of work going on the ground.
Charles Jeannes: Yeah, David if I can just add to that we have talked about this before but it’s certainly our expectation and I think the expectation of a lot of commentators and those who spend time looking at Argentina that there will be continued devaluation potentially as soon as following the elections coming up and it’s just next week. So we look at that as a very significant moving part that hopefully we have more clarity on as we get into next year and get closer to production and that will be very important in terms of our expectations on operating cost.
David Haughton – BMO Capital Markets: All right, I just haven’t quite got over Cerro Negro but if you could let me have another question on this one. Having looked at your stockpile build up you have got some quite a lot of material there already some good grade, how did those grades compare to your book model, have you had an opportunity to test what’s coming out compared to what you would have predicted?
Charles Jeannes: Yeah, David, good question. Obviously not a huge amount of material but what we have seen today has been positive and no indication that, that trend won’t continue. And we are stockpiling the material as you would expect and quite frankly my longer term concern is that the mill may accelerate throughput and we will have the ramp up at the mine which is a great problem to have but the mine is doing an outstanding job. We are seeing what we expected to see and it’s not exactly what we had in our budget as far as what we are moving but while we are moving versus the block model is slightly positive.
David Haughton – BMO Capital Markets: Okay, and last question might also be in your area too Russell is Alumbrera so you have had a win there from the permitting side of things. What does that mean now, where does it stand in your pipeline and how it’s compared to other projects that you have got, have you have a chance to think about it little bit?
Russell Ball: Yeah, David, maybe I will take that one, first I just want to say that we are very pleased to have been able to get through the RCA reinstatement process, lot of hard work, lot of people on our team down in Chile. Having said that we now find ourselves with a feasibility study that’s quite stale in terms of capital and operating cost estimates that we need to get back to the drawing board and update that feasibility study and the problem that we have with respect to a lack of power supply solution still remains and so we’ll be working on that and as we learn more and have the better sense as things going forward there we will let you know.
David Haughton – BMO Capital Markets: Okay. Thank you very much and good luck.
Charles Jeannes: Thank you.
Operator: Thank you. Our following question is from Tony Lesiak from Canaccord Genuity. Please go ahead.
Tony Lesiak – Canaccord Genuity: Good afternoon. I was hoping you could speak to the optimized mine plan of Hollinger, timing, production levels cost?
Charles Jeannes: Sure. Well, timing wise we’re expecting probably in the quarter it will get started. Meanwhile we’re drilling to better understanding of ore body and to get set up for mining. It is more robust and it’s smaller production is going to be a bit less than half a million ounces total, the mine life looks to be about five years, about 10 million tonnes or little less than 1.5 gram per tonne and we’ll get a good return on investment on this one that will support, lower operating cost that we’re attacking with their old reprogram.
George Burns: Yeah, Tony if I can just add down, Hollinger is one of those that I think is a good example, what we all need to do in lower gold price environment. We’ve looked at this compared to the original feasibility plan and gone back in and made a smaller and much higher return and lower cost. So we’re not moving as many tonnes, we’re many not making as many ounces but we’re making better returns on our investment and that’s the kind of thing that we’re trying to do around the organization and it’s a good example of it.
Tony Lesiak – Canaccord Genuity: And how would that fit with the Porcupine camp in terms of incremental production lift?
Charles Jeannes: So bringing Hollinger on allows us to be less reliant on the low grade stock piles that enable us to keep that mill built. So it’s basically going to offset some of the low grade stockpile production with a bit better grade coming in at Hollinger and therefore helping our operating costs.
Tony Lesiak – Canaccord Genuity: So in terms of just looking at the Porcupine cost structure you’d expect further benefits to what you achieved this most recent quarter as Hollinger comes on board?
Charles Jeannes: Yeah, Hollinger’s going to be than the stockpile material we’ve been processing, so yes.
Tony Lesiak – Canaccord Genuity: Okay. And then just the final question for you George looking at Penasquito unit cost what’s your goal post optimization?
George Burns: That’s the tough one, you put a target of there that stretches everybody and I guess what I can tell you is we’re focused on benchmarking against the big mines across the Americas and we see significant opportunity in Penasquito to get those unit cost per tonne down and I can tell you we’ve got a lot of big opportunities teed up and our team focused on. So I don’t want to give you any numbers but I can tell you it’s significant improvement.
Tony Lesiak – Canaccord Genuity: Okay. thanks so much.
Operator: Thank you. The following question is from Adam Graf from Cowen. Please go ahead.
Adam Graf – Cowen & Co.: Thank you. Congratulations on the quarter. Guys, I was hoping that you guys could talk a bit about the proposed tax royalty legislation in Mexico and how that would potentially impact your operations and effective tax rates?
Charles Jeannes: Thanks Adam. Certainly we’re not happy about the tax proposal that has been made in Mexico. It’s significantly higher than what had been discussed over the last years. So this issue has been on the table in our discussions with government. We think that it’s not well thought out frankly by the government in it would take Mexico from being one of our more competitive jurisdictions from a tax standpoint to being one of our highest tax jurisdictions and necessarily that will hurt foreign investment, or investment period in the mining industry and we got things got in front of us that are very significant like Comino Rojo and Deep Penasquito multi billions of dollars of potential investments in the future that will just have that much higher hurdle rate if this tax goes through as proposed. So certainly those are the kinds of the discussions we are having with government and we hope that they listen. I am not able to give you any specific numbers because there is a lot of moving parts but clearly the additional tax of 7.5% on EBITDA and you can figure that up directly from our financial statements would be an increase, pretty significant increase in the tax stake in Mexico but it’s not going to materially impact our existing assets. What it does, as I said changes that hurdle rate for new investments and it will likely drive our capital elsewhere, if we don’t get the returns we are looking for in Mexico we’ll put it somewhere else.
Adam Graf – Cowen & Co.: And just a quick follow up regarding that the current taxes you guys are paying at Penasquito are these still the 17% minimum tax or have you guys moved up to the 30% corporate tax rate and if you haven’t moved up yet what’s the estimated time horizon there?
Lindsay Hall: Adam it’s Lindsay yeah, that works with 30% .
Adam Graf – Cowen & Co.: Okay. Very good thank you guys.
Charles Jeannes: Thank you.
Operator: Thank you. The following question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni – Credit Suisse: Good afternoon guys. My questions is regards to the 10% withholding tax that Argentina is proposing on dividends out of the country. Is that different from the resource tax?
Lindsay Hall: Anita it’s Lindsay, it’s different from resource correct, it’s correct.
Anita Soni – Credit Suisse: Alright so we should be modeling 10% additional taxation on Cerro Negro starting when you start to go commercial?
Lindsay Hall: No because you know that when we pay dividend out of Cerro Negro you can imagine how we finance Cerro Negro is not debt equity. So for the first many years of Cerro Negro we are taking the cash out through repayment of loans so that won’t attract any tax.
Anita Soni – Credit Suisse: Okay. And then with respect to the capital cost escalation at Cerro Negro. What do you expect will be the sustaining capital life of mine at this stage given the escalation you’ve had on the capital cost side or preproduction capital cost?
Russell Ball: Yes Anita it’s Russ sustaining capital there is actually product of the budget exercise as you are well aware I think it’s in the range of $40 million to $50 million if memory serves but we are looking at with Mariana Norte not being developed it’s going to change. So 40 to 50 round numbers was my recollection but we can get back to you.
Anita Soni – Credit Suisse: 40 to 50 per annum.
Russell Ball: 40 million a year, total sustaining capital.
Anita Soni – Credit Suisse: Alright, thank you .
Operator: Thank you. The following question is from Brian Yu from Citi. Please go ahead.
Brian Yu – Citigroup: Great, thanks. Then my first question is on Penasquito and I had looked at the presentation that you guys had issued when I had done a tour few years back and it looks like your recovery rates are tracking better than the one that were expected. Recognize that there is natural relationship between grade and recovery but if you look at the grades you are running at now are recoveries running as expected or is it better than you thought?
Charles Jeannes: It’s fairly variable to be candid, overall the recoveries are in line with our expectations. But it’s the complex ore body and we get into certain ore blocks the recoveries are significantly below the averages you see in our results and time zone or above. So I guess I describe our complex ore body overall recoveries are doing what we expected.
Brian Yu – Citigroup: Okay. and then second one is fact back to Adam’s question on Mexico tax. You say it does go through the Senate as proposed. Do you think that’s going to have an impact on the carrying value of the property on the books?
Lindsay Hall: No, Brian it’s Lindsay. We build that into our whatever we do it I think you are talking about impairment test and we – we are fine Brian fine.
Brian Yu – Citigroup: Okay, great, thank you.
Operator: Thank you. (Operator Instruction) The following question is [Harry Metier] from Barclays. Please go ahead.
Unidentified Analyst: Hi. When you guys issued your bond deal earlier this year I think the initial intent is to keep some of the proceeds on the balance sheet to handle the 2014 convert that would necessary return to the bond market. I just want to get an update obviously the near term commodity outlook has changed a bit and higher cost at Cerro Negro. Can you just update us what on your thinking about next year convert and how you might address it?
Lindsay Hall: Harry, it’s Lindsay I mean obviously we have to – the payment is due in August ‘ 14 so we’ll make that decision but if gold prices stay where they are at today 1,300 or whatever they are settling on today. We do have capital flexibility but probably our intention is if you asked me today what I see doing we’d probably go into the market and finance that in 2014.
Unidentified Analyst: Okay, thanks very much.
Operator: Thank you. The following question is from John Bridges from JPMorgan. Please go ahead.
John Bridges – JPMorgan: Hi. Good morning everybody.
Charles Jeannes: Good morning John.
John Bridges – JPMorgan: Just following up on Hollinger did you say what the current calculated gold price?
Charles Jeannes: Little less than the 1,000 bucks.
John Bridges – JPMorgan: Okay. so you don’t have to move the road and some houses?
Charles Jeannes: Yeah there is no infrastructure impacted by the pit design and it still accomplishes reclamation of the historic mining that was also a target of this mine plan.
John Bridges – JPMorgan: Okay perfect. The strip ratio for that do you have that?
Charles Jeannes: It’s roughly four to one.
John Bridges – JPMorgan: Okay excellent. Thank you very much.
Charles Jeannes: Thanks, John.
Operator: Thank you. There are no further questions registered at this time. I would like to return the meeting to Chuck Jeannes.
Charles Jeannes: Okay. Thanks very much everyone. Just a final note on the gold price the U.S government shut down and weaker than expected labor statistics have further deferred expectations for an end to the fed’s quantitative easing program anytime soon I think. And so we saw the gold price respond positively to this development but regardless of the short term moves based on fed action or inaction we firmly believe that the long term factors supporting the strong gold price remain in place. But we can control the price of gold. So we will continue to focus on those things we can control, delivering on our production forecast, reducing our cost and being careful stewards of our shareholder’s capital. So thanks everyone for joining us today. Have a safe and healthy holiday season and we look forward to talking to you again in the New Year. Bye.
Operator: Thank you. That concludes today’s conference call. Please disconnect your lines at this time and we thank you for your participation.